Operator: Welcome to the Fourth Quarter 2020 WillScot Mobile Mini Earnings Conference Call. My name is Thiya and I will be the operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct the question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Nick Girardi, Director of Treasury and Investor Relations. Nick, you may begin.
Nick Girardi: Good morning, and welcome to the WillScot Mobile Mini fourth quarter earnings call. Participants on today's call include Brad Soultz, Chief Executive Officer; Kelly Williams, President and Chief Operating Officer; and Tim Boswell, Chief Financial Officer. Today's presentation material may be found on the Investor Relations section of the WillScot Mobile Mini website. Slide two contains our Safe Harbor statement. We will be making forward-looking statements, during the presentation, and our Q&A session. Our business and operations are subject to a variety of risks and uncertainties, many of which are beyond our control. As a result, our actual results may differ materially from today's comments. For a more complete description of factors that could cause actual results to differ and other possible risks, please refer to the Safe Harbor statement in our presentation and our filings with the SEC. With that, I'll turn the call over to Brad Soultz.
Brad Soultz: Thanks, Nick. Good morning, everyone and thank you for joining us today. As you saw in our press release yesterday, WillScot Mobile Mini had a tremendous and transformational 2020. Our team rose to a set of challenges unlike any we've tackled before and I'm proud of and grateful for their efforts. From our safe and rapid response to COVID-19 pandemic to our transformational merger between WillScot and Mobile Mini, our business, portfolio and team demonstrated their resilience and ability to create value for all stakeholders, most importantly of which our customers. Now, before discussing earnings, on behalf of the entire WillScot Mobile Mini Board, I'd like to start by thanking Kelly Williams for many contributions he has made as Mobile Mini's CEO and WillScot Mobile Mini COO. Kelly has decided to transition for our company in July. Kelly has built an incredible enterprise in Mobile Mini and he was instrumental in planning and executing our integration. His impact will be felt for many years to come. I speak for everyone at WillScot Mobile Mini, when I express our gratitude for his leadership and partnership. And I wish him the best of luck, as he pursues the next phase of his personal and professional journey. Now, turning to page five of our presentation. As you know, we are a leading business services provider, specializing in innovative flexible workspace and portable storage solutions. We serve diverse end markets across all sectors of the economy from a network of over 275 branch locations and additional drop lots in North America and UK. The business attributes listed here constitute a formula for sustained growth and returns and we see clear evidence of each one in our fourth quarter results, which were outstanding.
Tim Boswell: Thank you, Brad, and good morning, everyone. Turning to page 19. Our 2020 results were exceptional, showing yet again the resilience and accelerating earnings potential in our business. I'll touch on a few key highlights from the fourth quarter results. Leasing revenues for the North American Modular and Storage segments increased 4% year-over-year versus 2019 on a pro forma basis, driven by price increases, increased VAPS penetration, storage volume growth and stabilizing volumes in Modular. Amidst a pandemic and an unprecedented GDP contraction, this is a remarkable validation of the durability of our lease portfolio. This organic growth translated into 8% adjusted EBITDA growth with $180 million of adjusted EBITDA in the quarter. And our adjusted EBITDA margin of 41.1% set a new company record expanding 580 basis points versus 2019 on a pro forma basis.
Brad Soultz: Thanks, Tim. I'll turn into slide 27. Our scale, technological sophistication, and commercial position all support the powerful levers we have to create value for years to come at any point in the cycle. Exiting 2020, our pricing momentum has continued with a large portfolio of opportunities that we're excited to execute. VAPS in both Modular and Storage represent significant further growth opportunities. Our sales team is already working together to cross-sell, a natural result of the end-market and customer overlap between our segments in North America. The complementary nature of our business and the culture and values alignment of our team. We have about $60 million of synergies remaining to execute from this merger and prior acquisitions and our strong track record makes us confident we can deliver on this expectation. We are thoughtful and deliver as we consider our capital allocation and we will continue to prioritize growth, deleveraging and share repurchases. Now, moving to slide 28. Our management team is in place to drive our long-term goals and harness the combined expertise of the legacy WillScot and Mobile Mini organizations. We are aligned on our core values and prepared to continue to deliver excellence in 2021 and beyond. As always, thank you to our team for supporting our company and our customers. I also wish all of you listening today continued safety and good health. This concludes our prepared remarks. Operator, would you please open the line for questions?
Operator:  And our first question will come from Ross Gilardi with Bank of America. Please go ahead.
Ross Gilardi: Good morning, guys.
Brad Soultz: Good morning.
Ross Gilardi: I just wanted to ask about the $500 million free cash flow target and just, think longer term, how to think about a conversion rate? And then if I take your EBITDA guidance for '21 add a little growth in '22, it would seem to imply EBITDA to free cash conversion of somewhere in the neighborhood of 65% to 70%. Is that a fair way to look at it going forward? I think you said $500 million run rate by the middle of 2022. But I'm just trying to think a bit more on a conversion rate on a long-term basis?
Tim Boswell: Hey, Ross. This is Tim. And look, as the portfolio stabilizes, we'll be able to dial that in. But I think you're heading in the right direction. Okay. So take Q4, as an example. We did call it $180 million of EBITDA and $87 million of free cash flow. That's almost 50% conversion that is burdened with, call it, $12 million of integration-related expenses, so you can take that conversion rate a little bit higher. But it's also a higher margin quarter typically. But it's illustrative of where the business is going. So to your point, as we roll the business and the portfolio forward with some organic growth driven by pricing and value-added products, those items are going to flow through to EBITDA. And frankly, in front of cash flow at north of 80%. And then the only other variable is to what extent are we reinvesting in the business in CapEx, right. Now, I do want to highlight that, that can fluctuate quarter to quarter. Typically, Q4 and Q1 would be a little lighter. If we're in a normal seasonal pattern, we would dial that up with some fleet refurbishment in Q2 and Q3. So I'll pause there. I think you've got evidence of what's possible in Q4 and some I think very logical reasons to believe that, that can go higher.
Ross Gilardi: What are the one-timers, Tim, on free cash flow that go away -- from 2020 to go away in 2021?
Tim Boswell: So we've called out the integration expenses, I think in the last quarter's call, I said that would be between $10 million and $15 million per quarter. We definitely realized that in Q4. A portion of that, about $5 million is being capitalized in our IT expenses. But that is still a cash headwind that we incurred and will continue to incur through Q2. And then I'd expect that to begin to taper down as we get to the end of 2021.
Ross Gilardi: Okay. So you'll have $10 million to $20 million per quarter of integration for two quarters next year. So you'll have sort of $20 million to $40 million of integration expense that drops off on a full-year basis in '21, is that what you're saying?
Tim Boswell: Yes. On a full-year basis, yes, that's right.
Ross Gilardi: Yes. Okay. And then just the last one. On your bridge, you show net synergies of $5 million to $15 million in 2021 for EBITDA. But you talk about on one of your first few slides about $60 million of cost synergies left to execute. I'm just wondering what's the gross synergy number baked into the '21 outlook? And can you give this a little bit better sense of the buckets for the $60 million longer-term and the timing for achieving that?
Tim Boswell: Yes, well, let me just say what it is building during the course of the years. We've had about $10 million of ModSpace synergies that we'll build through the course of the year, so call it, $5 million of full-year contribution in the P&L. But based on the WillScot Mobile Mini merger, we always said that about 30% of the $50 million of cost synergies would be -- begin building 12 months post-closing. So 30% of $50 million is $15 million. $15 million divided by 4 is $3.75 million. So, $3.75 million of incremental uplift in Q3, then growing thereafter to about 80% contribution or synergy realization by Q3 of 2022. So those are the synergy components. I think like any business, we do have some other inflationary factors in the business, occupancy expenses, some employee comp and benefits are some things that I would point to. But for simplicity's sake, we just present it kind of a net for purposes of the bridge.
Ross Gilardi: Okay. We can take it offline if the math is there is too many puts and takes on the math. But I'm just like on an absolute dollar basis, is it possible just to say what the gross synergy number baked into the '21 outlook is, the gross number not the net number?
Tim Boswell: Yes, call it, $20 million zip code.
Ross Gilardi: Okay. All right. Thank you very much.
Tim Boswell: Sure.
Operator: The next question is from Scott Schneeberger with Oppenheimer. Please go ahead.
Scott Schneeberger: Thanks very much. Good morning. I would like to ask about the sustainability of the double-digit rental rate growth in North American Modular, as well as the high single-digit plus rental rate for GLOs and storage, clearly driving the business nicely. Is this throughout '21? Is it sustainable particularly in North American Modular and potentially beyond? Thanks.
Brad Soultz: Yes, the double-digit rate growth set for several calls now we think is sustainable certainly next year and I think for years to come. I mean, if you just look under the hood of the composition, you've got, 40% of that coming from VAPS growth. The VAPS rates were up again on new deliveries 13% year-over-year. We were at $311. We've always talked about $400 as our internal target. And we continue to make great progress in that direction on the Modular side. The balance is kind of that same spread, if you will, on the core pricing. So if rates were ever going to be stressed, it would have been after a shock such as the pandemic and you've just seen the beauty in the platform here continue to perform right through that. And it is kind of the same story on Storage as we spoke about in the last call, 32nd or 32 quarters of consecutive double-digit rate growth. Under the hood, that is outstanding growth on GLOs, ground level offices.
Tim Boswell: Positive rate growth.
Brad Soultz: Positive rate growth, I'm sorry, on the ground level offices, and pretty stable rates on the Storage side. So as we began to implement the commercial practices that we've used in Modular and we're seeing effective in the ground level office, we're seeing effective in the UK. We think there is further upside on the Storage side of the platform.
Scott Schneeberger: So, thanks for that, Brad. Tim, looking at the EBITDA guidance, and then, you had mentioned earlier an implied 50% percent flow through. What's an achievable status quo incremental margin flow through for the business in normalized times potentially? And well, how is your feeling about the high end of the guidance range? What could tip you above that in 2021 on the EBITDA range? Thanks.
Tim Boswell: Okay. I mean, if you want to think about a normalized flow through to EBITDA, we are calling by the end of the year, we'll have margins up easily 100 basis points. I called out the variable cost headwind in the business of approximately $20 million. That's over 100 basis points of margin headwind right there. So if you just take the midpoint of the guidance, it's round numbers, $100 million of revenue growth, $50 million of EBITDA growth, you've got $20 million of headwind there, maybe kind of that's a little bit above normal, let's say, so it's easy to get to 60-plus percent flow through on the portfolio in a stabilized environment.
Scott Schneeberger: Thanks, Tim. In the high end of the guidance range, what would be factors that could tip you above there or push you up at the high-end in this coming year? Would it require infrastructure bill? What are some of the things that you look at that'd be big drivers up or down in that range?
Brad Soultz: Yes, Scott, we'd really need to see strong demand in the first half of the year, is effective where we're at. So we've been offsetting this non-resi headwind with outperformance in other markets or other end markets and some new opportunities. So as those headwinds ease, if that occurs in the first half, that's going to push us to the top side of the range. The infrastructure we think is a great medium and long-term stimulus. But even, if it was announced today, it's not going to drive much new construction, if you will, yet this year.
Tim Boswell: I think a widespread pricing improvement broadly across the portfolio is another lever that takes you hire more quickly. The irony with infrastructure is if that materializes in Q4, just to make an example and we're investing to support that volume, it could actually depress margin and EBITDA in the year. Right, that's just how the business works. That would obviously be a fantastic scenario to be in, because we'd be building the portfolio for 2022 and 2023. But as you know, the portfolio doesn't move that quickly. So we're very, very comfortable with the range that we've put forth.
Scott Schneeberger: All right. Thanks. Great. I appreciate it. I'll turn it over.
Operator: The next question is from Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great, thanks so much. Brad or Tim, in the slides, it looks like you framed $125 million of VAPS and then another $35 million in the GLOs. Is the GLOs part of that $125 million or would that be in addition to that? So is it --
Brad Soultz: It's in addition to that.
Kevin McVeigh: So it would be about $160 million, Brad, all-in, is that right?
Brad Soultz: Yes. And then, just keep in mind, we're really just getting started implementing the VAPS in the GLO. So if you think about the three-year trajectory on that, it will be fairly modest here in the next couple of quarters and then really begin to build.
Kevin McVeigh: Got it. It's helpful. And then, this $350 million of free cash flow in 2021, it puts $500 million in focus, Tim. Is there upside to that number? I mean, obviously, the gating factor would be investments in CapEx, things like that, but any puts and takes here you think about that $500 million, because it seems like you're closing in on that even a lot faster than what we would have thought?
Tim Boswell: Yes. In terms of the $350 million, it's a good, I think, midpoint to center on. The same responses I just made in terms of EBITDA upside would apply to the free cash flow number. And then, of course, any fluctuation in capital expenditures. It's easy to make that number go up. Our CapEx is almost entirely discretionary even over the medium term. But I think based on the growth profile that we see right now, the investment levels that we expect, that's a good point to center on. And really it would just be anything that takes EBITDA to the top end of the range or any moderate CapEx short-term would cause that to flex up.
Kevin McVeigh: Awesome. Thank you. Really, really nice job.
Operator: The next question is from Courtney Yakavonis with Morgan Stanley. Please go ahead.
Courtney Yakavonis: Hi. Just wanted to follow up a little bit on that comment on infrastructure potentially depressing EBITDA on the areas you built out the portfolio. Can you just -- is that sales force, is that CapEx on building out the fleet? Can you just help us understand that comment a little bit more? And would that be impacting more of the 2022 EBITDA versus '21? And then also, if you can just give us a sense of what types of infrastructure projects would be most impactful for your portfolio? I think historically you've talked about GLO has not necessarily been something that you have a huge exposure to?
Tim Boswell: Courtney, this is Tim. Good morning, I'll start and Brad will come back to your specific kind of infrastructure sector question. But my comment around infrastructure's impact on the P&L applies to any volume shock, right, whether it's infrastructure or something else. So, if we take Q2 of last year, for example, we had a demand shock going down, going negatively, right? And given the flexibility and the variable cost structure in the business, we pulled out a lot of direct labor and a lot of maintenance expenses across both the Modular and the Storage platforms, right. So now if you get a shot going the other direction, you do incur some of those maintenance expenses to make more deliveries. And that's a great thing. And just the way the P&L works is those maintenance expenses are recognized when the work is performed. And then that investment then builds your lease revenue which grows over time. So it's -- there's really nothing unique about infrastructure in that regard. It is simply whenever you have a big volume movement one way or the other, it can have a short-term impact on margins as there is more maintenance cost in the branch network. Brad, do you want to talk about the…
Brad Soultz: Yes, the short answer is all infrastructure helps us. From a legacy Modular perspective, it's factual that roads and bridges and such were less consumers of large Modular offices, but storage and ground-level offices are on every road construction project I drive by. So we're excited for all.
Courtney Yakavonis: Okay. Great, thanks. And then I think you've historically talked about some of the benefits or some of the offsets from the declines in non-resi from COVID and appreciated the comments about the high versus low end of guidance really being more growth in the first half of the year. So can you -- do you have any sense at this point, A, just kind of quantify how much of the demand in 2020 was offset by some of these more temporary COVID projects? And do you have any sense at this point about the longevity of -- or when some of those projects could come off of them?
Brad Soultz: Again, this is Brad. It's hard to be precise, but I'd answer you in kind of two veins. I would think about that any incremental demand we're seeing for COVID, whether it's testing or vaccine distribution, is kind of a volume offset to all the event business we've historically done. And they're both, in the grand scheme of things, relatively small. Right, they're not needle movers. If you look at the whole portfolio and use Modular as an example, fourth quarter of last year new deliveries were up over the prior year, despite all these non-residential headwinds. And that's what really excites us. So it's every other end market, whether it's their need for additional space per person, their need for screening on the job site, or just new buildings are needed or new end markets. We've got a vast sales team across 275 of the largest MSAs throughout North America and the UK that are always mining for new opportunities. So, it's that -- the resilience in the portfolio that -- it puts us in a place where we're offsetting this non-residential headwind. I can't predict when it will come back. When it does, I think it creates a quite interesting volume opportunity for us.
Courtney Yakavonis: Okay, great.
Tim Boswell: I would just say that we haven't seen any change in our average lease duration.
Brad Soultz: Yes.
Tim Boswell: So we monitor this pretty closely what is the average duration that we're getting on a contractual basis. What's the average duration of units that are coming back to our branches and what's the overall duration of the portfolio, right. So we look at it a bunch of different ways. And we just hadn't really seen any material change in those numbers.
Courtney Yakavonis: Okay, great. Thanks. And then just lastly on the guidance bridge for 2021, you guys called out the synergies and pricing, but has -- is there any -- are you starting to see any benefit from cross-sell opportunities or can you quantify that at any point? I think you've talked about the historical customer overlap between the legacy customers and overlapping with some of your Storage customers. But has that been a needle mover at this point?
Brad Soultz: It's starting to be, Courtney. Again, the kind of the system integration and automation, which will make the transactional aspect of that a lot easier. But it started. Effectively they would close the merger and its most apparent on these big projects. We teamed up for support of the Super Bowl like we never would have been able to do before. These large vaccination rollout schemes were absolutely leveraging both teams and sales forces. So it's happening very naturally and quickly at the top of the stack, if you will, larger projects. And as we kind of prosecute the course of this year, get the ERPs cut over, start to automate more and more of the cross-leads and cross-selling, we're just going to continue to see more of that. I mean, think about that as one of the key drivers to lift, if you will, the Storage market share, which is around 25% now, but more in line with our office share, call it, around 45%. So we've got this internal engine, if you will, of leads. We just need to marry them up and capture and make sure we're providing both storage and office.
Courtney Yakavonis: Great, thank you.
Operator: The next question is from Phil Ng with Jefferies. Please go ahead.
Philip Ng: Hey, good morning, everyone. Would some of the best practices that you're implementing in the VAPS rollout for Storage, how are you thinking about AMR growth in 2021? Is it kind of more in line with that 3% cadence we've seen in the last few years? And then from a longer-term opportunity, how should we think about that going forward?
Brad Soultz: Yes, I think for next year kind of that 3% rate on the Storage side is a good bogey. I mean, as you start to deliver new products at higher rates, right, it takes a while for that to roll through the portfolio.
Philip Ng: And then, any longer-term targets that we should think about? Is this like a mid-single-digit grower going forward with some the good stuff you guys are implementing?
Brad Soultz: Well, we've quantified the VAPS opportunity in GLOs, right.
Philip Ng: Sure.
Brad Soultz: But let us do our work and we'll come back to you with more specifics, probably in the second half of the year, as we really understand and quantify. You guys know we do our work. We make sure we roll it out in a methodical way. I mean, getting the supply chain right on all of this, it sounds easy, but it's extremely complicated. So, we'll lay this out and come back to you and talk about both the opportunity, as well as the time it'd take to achieve that.
Philip Ng: Got it. And we're hearing tight container market conditions. Has that had an impact on pricing for you guys and is that an opportunity to pick up some share, just given your scale?
Tim Boswell: Hey, Phil, this is Tim. I'd say, it's a net benefit in the short term. We're active in that market every day obviously. And I mentioned it in my remarks, we are making some targeted new fleet investment, some of which are containers and we are able to land fleet in Q2 and Q3. So it is definitely -- there are short-term constraints, but it's not an impediment to our growth, even in the relatively short-term. It doesn't hurt right now. We are probably the largest marginal supplier of inland containers in the US. And certainly, there is some modest benefit to that. But I wouldn't make too much out of it.
Philip Ng: And then on that similar vein, Brad and Tim, I mean, we're hearing higher logistics and transportation costs and certain bottlenecks for some of the other companies we cover. Do you guys pass that through? And then from a opportunity for growth, just given your branch density and scale, how are you guys positioned in that backdrop?
Brad Soultz: Yes, this -- the logistics side and you've seen margins continue to expand in that space. So we've mentioned before, we think this is a real opportunity for the company to leverage each other best practices as well as truck fleet and drive both top line growth on the logistics side, as well as we've mentioned, there is pretty significant in-sourcing opportunities on the bottom line, particularly on the Modular side. So it's another one of those unique levers in this portfolio.
Philip Ng: Okay. Great. Thanks a lot, guys.
Operator: The next question is from Stanley Elliott with Stifel. Please go ahead.
Stanley Elliott: Hey, good morning, everyone and thank you all for taking the question. When we think about the VAPS piece and so much has changed over this past year, have you been able to introduce new sorts of products within the portfolio to the point where maybe you kind of the initial target that we've talked about of VAPS might actually be a bigger pie on a go-forward basis?
Brad Soultz: Yes. We've always qualified, if you will, the $400 million target of the VAPS value delivered per month, supportable with the existing of VAPS fleet. Our first and foremost endeavor is to get everyone to that $400 million level and we've got a significant portion of our reps now already riding -- complete MSAs riding at that kind of $400 million level. We do implement new products all the time. Probably most notably this year we've been rolling out more like a cubicle solution, if you will, it's more focused or well-suited, if you will, for large complexes. So, yes, we'll keep our entire team focused on getting the $400 million with what we have. And we'll obviously continue to implement new VAPS, not just in office, as we alluded to before and Storage.
Stanley Elliott: In the guidance, you mentioned that it was organic. You're tracking very well against your free cash flow targets and also kind of it to where you want to be from a leverage perspective. Is M&A kind of realistic opportunity here or any sort of portfolio shifting when we think about kind of how this 2021 might unfold?
Brad Soultz: Yes. M&A is absolutely realistic now.
Stanley Elliott: Great. Thank you.
Brad Soultz:  or office, yep.
Stanley Elliott: Appreciate it.
Tim Boswell: Yes, it's always been part of the growth strategy for both companies, I mean, Mobile Mini was a steady acquirer over the last two years, more tuck-in acquisitions and WillScot obviously, we've seen M&A to be highly accretive. So as I mentioned in my remarks, there are no financial or operational constraints. And it is difficult to predict the timing of those. We tend to be fairly opportunistic.
Brad Soultz: And the beauty is we don't have to do anything to deliver an outstanding trajectory.
Stanley Elliott: Great, guys. Thank you.
Operator: The next question is from Brent Thielman with DA Davidson. Please go ahead.
Brent Thielman: Thank you. Good morning. And congrats on a great quarter, great year. I want to follow up on one of the prior questions that was more around the Storage side of the business, some of the supply constraints in the industry. I've heard something similar on the Modular building side, just the cost of materials, steel, lumber moving up. And I wonder I don't think that's an issue for you obviously because you've got a large fleet, big balance sheet, but I wonder if that's a constraint for some of the smaller industry participants and another lever for rate over the near term?
Tim Boswell: Yes, Brent, this is Tim. Yes, we'd agree with you. We monitor all of the domestic manufacturers and have a good pulse for how busy they are. And you're right. We're sitting around 70% Modular utilization. And one of the things we've always said is that we would much rather take an older unit, refurbish it in-house, that is a core competency of WillScot that I don't think we advertise quite as much it's a big competitive advantage to be able to manage these units not over 10- or 15-year life, but like a 20- to 30-year life. And we do that because of our in-house expertise and refurbishment capability. We've got an awful lot of inventory to grow the business for several years, before we need to go out and do any large-scale domestic Modular fleet purchases and we do have international sources of supply for our FLEX product. We do bring those in flat-pack and containers and that's the most innovative Modular solution in the marketplace right now. So I think that's actually a net positive for the overall supply-demand balance in the market and we're happy to see it.
Kelly Williams: Yes, I might add, Brent.
Brent Thielman: Okay. And then on…
Kelly Williams: Yes, just real quick, I think the other advantage I think that we've touched on historically is obviously scale. So I mean when you're talking about a smaller competitor, our ability to reposition assets, as Tim mentioned, we want to prepare first but our ability to reposition and take advantage of scale is such a huge differentiator when it comes to some of these smaller competitors.
Tim Boswell: Absolutely.
Brent Thielman: Yes. The second question I want to come back to Slide 15, just because on the Modular side of the business, it's such a massive change in terms of the trend in deliveries up 3% versus down mid-teens in the preceding quarter. I just wanted to get a better understanding. Obviously, it's an improvement in the Storage side, but you may have not seen that same trend on that side of the business?
Tim Boswell: Yes, it's excluding the seasonal units is one caveat there. So we're trying to just zero in on the core. And I wouldn't read too much into it, Brent. I mean, Storage had a fantastic Q4. I mean, actual unit on rent volumes were up year-over-year with over a 15% sequential increase from Q3 into Q4 when you include the seasonal units. So no concern there. If you looked at the order numbers last quarter, you would have seen the reverse and asked, okay, why is Modular lagging a little bit. I think the punch line here is both are seeing improvements, right. So I wouldn't get too lost in the relative percentages. The punch line is coming out of Q4, we've seen sequential improvements and are probably a little more optimistic about the market backdrop today than we would have been 90 days ago.
Kelly Williams: I might just add too on the Storage side, you've got -- there is a significant amount of business that you're looking out to prior year that was -- they were the retail remodels. And that's extremely high-volume, short-duration rentals that -- it is why although you see the decline in activations, you see the improvement year-over-year in units on rent. So you've got a lot of units that didn't go on rent, but you also have a lot of units that didn't come back. So that duration that we have in the Storage side is very, very similar to the Modular side. So when you look at it from an overall basis, it's -- excluding seasonal, it's actually very much in line with what we would have anticipated.
Brent Thielman: Okay, thank you. Appreciate it.
Brad Soultz: I would just add we do expect, as we look forward that remodel business. But we think it's just pushing out. It's absolutely just a deferral. So we're active with all of our large customers and supportive of their remodels whenever they're ready to go.
Brent Thielman: Thank you.
Operator: The next question is from Sam England with Berenberg. Please go ahead.
Sam England: Hi, guys. Thanks for taking the questions. On the first one, I was just wondering if you could give us a sense for the delta between the current pricing that you are achieving and the pricing on legacy units coming back of rent on the Modular side if you exclude VAPS? And I was just wondering trying to get an idea of the pricing budgets opportunity?
Brad Soultz: Yes, Sam, just high level, it's going to be very similar to the convergence opportunity we've highlighted on the VAPS slide. The VAPS growth is driving 40%, 50% of the double-digit rate growth. The core pricing is driving the balance. There is a bit of portfolio on rent pricing optimization we do that's playing that as well but the biggest driver will be core rates on new units delivered.
Sam England: Okay, great. Got it. And then the next one, could you talk a bit about progress with national accounts, and particularly have you had any early success on cross-selling with national accounts where there was an overlap between you and Mini?
Brad Soultz: Yes, I mentioned a couple before like the large event, the Super Bowl. The response to large retailers, as well as some other general contractors in support of COVID. We're just really getting organized, Sam, though to be frank to really -- we need to go back and spend time, we're investing in a voice of the customer survey. We're going to spend time with some of our large agencies to really understand how we can provide more and more full turnkey, everything they need. They want on the job, everything that will stay there for three years and everything we can pick up and bring back at the end of the duration. So we're not missing any opportunities. This is all just longer-term upside.
Sam England: Okay, great. And then maybe just one more quick one, and sorry if you mentioned it, but I just wondered if you've seen any impacts from the adverse weather recently over the course of Q1?
Brad Soultz: Yes, absolutely we have. You'll see, again, keep in mind, think of a hurricane as well like in the past. These events don't move the needle at the top of the house, but certainly -- first and foremost, all of our employees are safe through this. We haven't lost any fleet of branches. But we absolutely have short-term volume disruptions in any one of these events typically followed by a period of volume opportunity, volume increases, and supportive rates. So yes, I'm just most satisfied right now that we've got everyone safe.
Sam England: Okay, great. Thanks very much, guys. I'll pass over.
Operator: The next question is from Andy Wittmann with Baird. Please go ahead.
Andy Wittmann: Okay, great. Thanks, guys. The delivery information I thought was really helpful and that gives the straight context. Of course, since we didn't have order data this quarter, I thought I would ask about the order book and you guys have referenced it, but I was just wondering, Tim, maybe if you could just talk about the status of the order book in the two primary segments. As well as the experience that you had in the quarter on returns. I think in the third quarter, you mentioned that return activity was way down something like 19% and I was wondering if you could address what you saw in the fourth quarter on that front.
Tim Boswell: Yes, I'll start there, Andy, and then go back to the order outlook and obviously informs our overall outlook for the year. But in terms of return activity, that year-over-year decline moderated pretty significantly in Q4. We were -- return activity was down, call it, mid single-digits across the business. So normalizing a bit, I think, as we head into 2021. Obviously those big return declines in Q2, Q3 really did help mitigate some of the unit on rent impact that we could have seen from the delivery shock in Q2. So that is one of the ways that the portfolio is almost self insulating in a way. In terms of order activity, we didn't put it in the deck and probably won't going forward just because there is more noise there than there is in deliveries. When a delivery goes out, it's going to be a unit on rent, right. So it's very difficult to argue with that. But we're seeing strong year-over-year increases, right, starting the year. And that is what is kind of informing our 3% to 5% delivery growth assumption across the business for 2021. We obviously try to ground our forecast as well as our capital allocation in the new demand leading indicators that we see. So sitting here today, it's, call it, low mid single-digits year-over-year order growth heading into the year. We're using that data to inform our outlook for the year.
Andy Wittmann: Cool. That's all I had today. Guys, have a good day and a good weekend.
Tim Boswell: Yes, you as well.
Brad Soultz: Yes. Thanks, Andy.
Operator: The final question is from Sean Wondrack with Deutsche Bank. Please go ahead.
Sean Wondrack: Hey, Brad and Tim. Great job both operationally and on the M&A side in what was a very difficult year. Just in terms of M&A, are you seeing any larger scale opportunities out there, whether it's on the Storage side or Other for the rate businesses, where you would contemplate maybe a transaction or you could potentially see a short-term increase in net leverage before trending back to your target, given that your free cash flow generation is now accelerating?
Brad Soultz: Yes. Hey, Sean, obviously, we don't comment on the strategy of ourselves or our competitors. As we've said before, we've got the capacity and capability to continue to pursue accretive M&A. It's also factual that given our scale on the Storage side targets, largest targets would be like a seven-per-size on the Storage side and on the Modular office side like, say, a fifth our size. So there is nothing of the magnitude of WillScot and Mobile Mini coming together to completely transform the industry. So watch this space, we've got the capability and capacity to do it. We also have a very busy book, if you will, right now that just get these two companies seamlessly integrated and start unlocking all the value drivers we were starting to highlight earlier in my prepared comments.
Sean Wondrack: That's very helpful. Thank you very much.
Operator: We have now reached the end of today's call. I will turn the call back over to Nick.
Nick Girardi: Thank you, Thiya. Thank you all for your interest in WillScot Mobile Mini. If you have additional questions after today's call, please contact me. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.